Operator: Welcome to the Corning Incorporated first quarter 2010 results. (Operator Instructions) I would now like to turn the conference over our host, Ken Sofio, Division Vice President of Investor Relations. Please go ahead.
Ken Sofio: Thank you. Good morning. Welcome to Corning's fourth quarter conference call. James Flaws, Vice Chairman, and Chief Financial Officer will lead the discussion. Wendell Weeks, our Chairman and CEO, will join for the Q&A.  Today's remarks do contain forward-looking statements under the meaning of the Private Securities Litigation Reform Act of 1995. These statements involve a number of risks, uncertainties and other factors that could cause results to differ materially. These risks are detailed in our SEC reports. Jim? 
James Flaws : Thanks Ken, good morning everyone. This morning we released our results for the first quarter which can be found on our Investor Relations website. We have posted accompanying slides on line as well. In summary, we are very pleased with our first quarter results as they exceeded our most optimistic expectations. Before I get into details I want to walk you through the key points we will be covering this morning. Number one, our first qtr performance was outstanding. Earnings per share were $0.52, up $0.08 or 18% from Q4 earnings per share excluding special items of $0.44. Q1 EPS was also up significantly from last year which was just $0.10. We are clearly pleased with the progress the company has made since that time. Second, we had significant improvement in our gross margin in the first quarter. Quarter one gross margin was 47%, up from 42% in Q4 and 27% a year ago. The improvement was better than we expected and was driven by very strong manufacturing performance and higher volumes in our Display segment. I will have more on gross margin and Display performance in a few minutes. Third, our first quarter earnings benefited from a much lower tax rate than we had previously forecast. Our effective tax rate was 2% in Q1 versus our expectation of 10%. We expect 2% to be the effective tax rate for the rest of 2010. The benefit of the lower tax rate versus our original expectation was worth roughly $0.04 per share in Q1. I will talk more on the drivers behind the lower tax rate in a moment. Fourth, we had significant free cash flow in the first quarter. Free cash flow was $472 million. While we have been successful in generating substantial free cash flow on an annual basis, since 2004 our first quarter free cash flow was usually negative. This quarter was the first time in the last 10 years that we have changed that pattern. Fifth, retail sales of LCD televisions and IT products during the first quarter were stronger than our forecast. As a result, we are raising our 2010 unit forecast for all LCD products. We are also increasing our glass market forecast from the previous range of 2.8-3 billion square feet to 2.9-3.1 billion square feet. This represents glass volume growth of between 18-27% over last year versus our previous estimate of 14-22%. Sixth, we expect LCD glass volumes at our wholly owned business and SCP to be up in the mid single digits sequentially in the second quarter, separately and in the aggregate. Glass prices are expected to decline slightly. Lastly, based on the strong retail data in Q1 and expectations for the remainder of the year we believe inventories in the supply chain are at appropriate levels heading into Q2. I will walk you through our model in our Display discussion. Now to the details. Our first quarter sales were $1.55 billion, a 1% increase from the fourth quarter and a 57% increase from a year ago. Our Q1 sales were negatively impacted by changes in exchange rates by about $17 million versus Q4. Moving down the income statement, gross margin was 47.1% in Q1 compared to 42.4% in Q4. This improvement was the result of very strong manufacturing and higher volumes in our display business. Gross margin also benefited from the non-repeat of the $10 million in one-time accelerated depreciation charges taken in the fourth quarter due to the Taiwan power outage. Regarding operating expense we are very pleased with our level of spending this quarter. SG&A was $235 million or 15% of sales. R&D was $145 million or about 9% of sales. Other income was $64 million in Q1 and consistent with Q4. Equity earnings were $469 million in the first quarter compared to $461 million in the fourth. First quarter equity earnings include a special item totaling $21 million relating to a manufacturing tax credit at Dow Corning. As a reminder, Q4 earnings at Dow Corning also had included a tax valuation gain of $29 million. Now onto our tax rate. During the first quarter we made the decision to repatriate approximately $1 billion in cash from foreign subsidiaries. We plan on repatriating this cash to the United States later this year. As a result of this decision we are able to use excess foreign tax credits which have the impact of lowering our full-year effective tax rate in 2010 from our previous estimate of around 10% to around 2%. This was also in our tax rate for Q1 and the benefit for Q1 EPS was about $0.04. To be clear, this decision simply moves cash from overseas to the United States. It does not change the total cash balance for the company. I will have some additional comments on our longer-term tax rate in the outlook. Net income excluding special items was $818 million in Q1 compared to $696 million in Q4. The impact from exchange rates was immaterial and more than offset by a balance sheet hedge gain in the quarter. We hedge our balance sheet against currency fluctuations. This resulted in a gain of about $7 million in Q1. We don’t expect this to repeat in Q2. EPS and EPS excluding special items were the same, $0.52 per share. There were a few special items in the first quarter but the net impact was only $2 million. Included in the special items are the $21 million manufacturing tax credit at Dow Corning I mentioned earlier. In addition we took a charge of $56 million to reflect the increased future Medicare subsidy tax expense change. This shows in our tax line. You should note EPS and net income excluding special items are non-GAAP measures. A reconciliation to GAAP can be found on our website. Our share count for the first quarter was 1.58 billion shares, consistent with the fourth quarter. Now let me turn to the segment results for the first quarter and I will start with Display. First quarter sales were $782 million or 9% higher than Q4. Volume was up 12% and pricing was down slightly as expected. Sales were impacted by about $10 million from the change in the Yen to U.S. dollar exchange rate which averaged $0.91 versus $0.90 in Q4. Display gross margin expanded in the first quarter as the higher volumes resulted in improved manufacturing performance. In addition there was the non-repeat of the $10 million accelerated depreciation charges I mentioned a moment ago. The drag on margins from the Gen 10 facility remains small. Equity earnings from SCP’s LC glass business were $344 million in the first quarter, an increase of 7% from the fourth quarter. Volume was basically flat and pricing was down slightly as expected. The increase in equity earnings was primarily due to a very strong manufacturing performance and non-repeat of some year-end accruals. For your modeling purposes, SCP’s first quarter LCD sales were $1.1 billion and consistent with the fourth quarter. As a reminder this represents SCPs LCD sales only. Our public filings will report SCP’s total sales which includes CRT glass and other products. Net income in the display segment which included equity earnings was $703 million in the first quarter, an increase of 14% over the fourth quarter net income of $619 million. As a reminder, display’s fourth quarter results included the effect of the accelerated depreciation. I would like to spend a few minutes discussing the current supply chain starting with retail. Retail demand in Q1 was strong across all major products; notebooks, monitors and LCD televisions. Worldwide LCD TV unit sales at retail were up 17% in January and 40% in February. We do not have complete data for March to provide a worldwide growth figure for that month. For those regions that do have data it continues to be very positive. As a reminder, worldwide retail sell through is the aggregate of data provided by different data vendors in each of the primary television sales regions; China, Europe, Japan and the United States. The most significant growth regions were Japan and China. In Japan LCD TV unit sales were up 79% in January, 65% in February and 167% in March. These growth rates were higher than our internal expectations. As a reminder retail sales in Japan have been running in the high double digits since last May and the Echo Point program incentive was produced. LCD TV sales in March have been even more robust due to clearance sales of models that were not eligible for the new Echo Point specifications starting in April. However, we recognize these higher growth rates may be an indicator of faster replacement rates. Another indicator that a faster replacement cycle is underway in Japan is the significant number of larger size televisions being sold there. In March there were three times as many 40 inch and larger LCD televisions sold in comparison to March of the prior year. The 40 inch and larger category has been consistently outperforming total LCD television growth during this Echo Point program. As a reminder, LCD TV penetration is already over 90% in Japan. Consumers have been purchasing LCD televisions there longer than in any other country. That is why we are focusing on consumer based studies there to understand if there has been an acceleration in LCD TV replacement rates versus traditional CRTs. This is important to know as Japan could be a precursor to what occurs in other regions. We plan on sharing the findings from the studies with investors in the future. In China, unit sales were up 53% in January and 167% in February. We do not have the March data yet. As a reminder the Chinese New Year ran from February 1 through 14th this year. Last year the holiday began in January. You need to combine the first two months to have a more accurate picture of the growth rate. In China, January and February combined TV unit sales grew 85% which again was higher than our internal forecast. Based on this retail data, we believe more than 8 million LCD television sets were sold in the first two months of the year in China versus our expectation of 7 million. It appears that retail sales were very strong during the holiday. We are aware there were some in the industry who had higher expectations. We have seen reports that state there were up to one million sets of excess inventory built. We do not view this number as being significant given the industry expects at least 37 million televisions to be sold in China this year. In addition, if there had been a significant amount of excess inventory or at least enough to impact the Display supply chain we would expect to see TV panel prices falling in March. I will cover panel prices in a moment but as many of you know TV panel pricing was very stable in March. So in summary, we don’t believe there was an excess amount of panels or set inventory build in China. In Europe, television unit sales were also strong. January and February sales were up 12%. We don’t have the March data for Europe. In the United States TV sales were down 19% in January, up 19% in February and up 14% in March. As a reminder, last January retail sales were influenced by the first round of digital conversion [inaudible] in February. In addition, Circuit City was liquidating their inventory last January and the Super Bowl occurred one week earlier. So the down 19% was in line with our internal forecasts. Combined, January and February sales were basically flat year-over-year in the United States. We also have two weeks of April data for the United States television market and they were up 12% versus last year. As a reminder, a significant portion of the growth in LCD televisions this year will be outside of the United States and Europe. We will continue to monitor the week-to-week and month-to-month data from NPD but the region we monitor most closely is China. Sales of monitors and notebooks have also started the year strong. For monitors our data is based on shipments of the top nine monitor brands which make up about 80% of the worldwide monitor market. In January shipments from these brands were up 31% year-over-year and in February up 11% for a year-to-date growth rate of 21%. These growth rates are much higher than our internal forecasts. We don’t have March data yet. For notebooks our data is based on the top five ODMs which make up between 75-80% of the worldwide notebook market. In January shipments were up 87% year-over-year and in February up 46%. Year-to-date the growth rate for the first two months is 64%, again much higher than our internal forecast. It should be noted that the monitor and notebook year-over-year growth rates are against a relatively weak environment in Q1 of 2009. So in summary on the retail side, sales of televisions, monitors and notebooks remain strong. As a result we are increasing our 2010 glass market estimate to a range from 2.8-3 billion to 2.9-3.1 billion square feet. For those who are modeling here are the newer unit forecasts based on the lower half of this new glass volume range. LCD television unit sales are expected to be 177 million versus our original estimate of 171. This is an increase of 22% over last year’s 145. Monitor sales are expected to be 184 million up from our original estimate of 176. Our notebook estimate also increased slightly from 207 to 209 million up 22% over last year. I would now like to update you on the supply chain inventory levels. To measure the overall health of the supply chain we look at both total square feet and equivalent glass held at panel makers, set makers and at retail as well as the number of weeks of inventory. We believe the number of weeks in inventory may be a better metric as the total end market increases over time. The amount of inventory in the supply chain required to meet the demand should grow also. We believe between 15-20 weeks of inventory in the supply chain is reasonable. Let me give you some historical examples. In the second quarter and third quarters of 2008 the amount of square feet of glass in the supply chain was between 770-870 million. This represented 21 weeks of inventory. This was too high so the supply chain subsequently corrected. The correction was amplified by the financial crisis. After the supply chain correction contraction in late 2008, inventory levels fell to 630 million square feet in Q1 2009. This represented 12 weeks of inventory which is too low. We saw stock out’s at retail in Q1. The supply chain needed to expand and did starting in Q2. Exiting 2009 there were 756 million square feet of inventory. This may appear to be reasonable but it represented only 14 weeks of inventory. We believe this may be one of the reasons in addition to the strong retail environment why glass demand was so robust in the first quarter. The supply chain recognized inventory levels were lean and we acted accordingly. At the end of Q1 we believe inventory levels are about 825 million square feet, about 17 weeks of inventory which we believe is reasonable heading into the second quarter. I have one more display market topic and that is panel pricing. As you know we do panel pricing as the canary in the coal mine in relation to the overall health of the Display supply chain. When panel prices are heading up, stable or even down moderately this is an indication that panel demand continues to be strong and stable which suggests there is strength further down the supply chain. We now have panel pricing data for the second half of April and it was in line with our expectations. We had expected price declines at this time of the year. We have seen TV panel price declines in April and believe it is likely the overall panel prices will decline $3-5 per month throughout Q2 meaning panel prices will remain well above cash costs in Q2. Monitor panel prices increased modestly in Q1 as demand remained strong. In April monitor prices were down $1-2. Note the panel prices were flat in Q1 and in April but we believe we could see moderate monthly price declines here also in the coming months. Now I will turn to the Environmental segment where sales in the first quarter were $192 million, an increase of 6% over the fourth quarter. As a reminder we were guiding a sales decline of about 10%. We were also surprised by the strength of auto demand in the quarter. Auto product sales were $117 million, up $9 million versus Q4. Demand continued to be strong throughout the quarter. According to Global Insight, the industry source for auto data, worldwide auto production is now estimated to be 67 million in 2010. This estimate is up from 64 million just a few months ago. As a reminder last year the auto market was 59 million. Most of the year-over-year growth is expected to be in China but there is also growth expected in the United States and Europe. We believe the stronger than expected auto production levels have placed further straining on the auto supply chain which has been struggling to replenish inventories since last year. As a result we have had to restart production that has been idle and call back workers. In addition demand has been so tight and inventory levels so low for the first time in our history we have had to air freight almost all of our production. Lastly we are in the process of transitioning our heavy duty production lines to manufacture the new products required under the U.S. 2010 regulations. The cost of all of these actions weighed on the Environmental segment margins during the quarter. We expect the impact of the actions to continue into Q2. In addition, it is important to note that the current auto industry run rate is about 72 million autos. We don’t believe this pace is sustainable so I would forecast the demand for auto products to ease slightly in Q2. I will discuss Q2 auto expectations in our outlook section. Diesel sales in the first quarter were $75 million, up slightly sequentially. The increase was due primarily to engine manufacturers finishing engines for last year, ahead of the 2010 regulations. Segment net income was $11 million in Q1 which was lower than [Q4]. In Telecom first quarter sales were $364 million, down 10% from Q4 and in line with our expectations. The decline was due primarily to lower fiber cable sales in China. Fiber to the premise demand was up 7% sequentially. Sales in our fiber and cable products in the first quarter were $190 million, a decrease of 18% sequentially. We believe the lower sequential demand in China in the first quarter was more seasonal in nature. Fiber volume was also up 50% from a year ago. However, as we discussed at our annual investor meeting we still expect the pace of demand to ease later this year with the China market ultimately being down between 3-14% versus last year. Sales of our hardware and equipment products were $174 million in Q1, consistent with Q4. Compared to the first quarter of last year Q1 Telecom sales were down 5%. The year-over-year decline was primarily due to softer fiber to the home demand. Sales of private networks were higher compared to last year as were fiber and cable sales in China. As a reminder, the first quarter of last year included $9 million of sales in businesses that were later divested. Segment net income was $8 million in Q1 versus a loss of $19 million in the fourth quarter. You should note the Q4 results had included $21 million in after-tax restructuring charges. We are quite pleased with the operating performance of the Telecom segment given the increase in net income on lower sales. We are now seeing the benefits from cost reduction actions taken last year. Sales in our Specialty Material segment were $96 million in Q1, down 13% versus Q4 and in line with our guidance. The decline was due to lower advanced optics sales. We were very pleased with the sales of Gorilla glass consistent between the fourth and first quarters. We had expected Gorilla sales in Q1 to be slightly lower given the seasonal demand in Q4. We exited Q1 with a sales rate for Gorilla of almost 170 million in the month of March. We continue to receive requests from many consumer electronics companies as well as others outside of the industry about Gorilla. Gorilla glass is now in 80 different models of handheld and notebook products and we are also very confident we will have our cover TV glass agreement soon. We are taking steps this quarter to prepare for Gorilla glass manufacturing at our Shizuoka facility. Our Gorilla glass operations in Harrisburg, Kentucky are currently running close to full capacity. As we continue to receive requests for Gorilla glass on new handset and IT models as well as the potential for TV cover glass, the need for additional operation flexibility is required. There will be some costs associated with the preparation of our facility in Q2 which will be reflected in the Specialty Materials segment. In Life Sciences sales in the first quarter were $118 million and consistent with the fourth quarter. Turning to Dow Corning equity earnings in Q1 were $112 million including the $21 million tax gain I mentioned earlier. There was a tax gain of $29 million in Q4. Excluding the tax gains in each quarter, Dow Corning equity earnings were down about 12% from Q4. Silicone sales were running very close to previous peak levels in the first quarter but Hemlock sales were about 30% lower sequentially. The decline in Hemlock is primarily due to the non-repeat of the significant one-time sales in the fourth quarter. As a reminder, last quarter Hemlock sold most of its lower grade poly that had been sitting in [inventory]. Hemlock also experienced a manufacturing issue in March that affected sales. This problem has been fixed and Hemlock’s operations are running again at full capacity. For your modeling purposes, Dow Corning sales were $1.35 billion in Q1 compared to $1.47 billion in Q4. Moving to the balance sheet, we ended the first quarter with $3.9 billion in cash and short-term investments and $3.6 billion at the end of last year. Free cash flow was $472 million and much higher than we expected. Corning usually runs free cash flow negative in the first quarter so we view this as a very positive sign. Free cash flow is a non-GAAP measure and the GAAP reconciliation is on our website. While on the subject of cash, we are updating our capital spending range for 2010. Our original range was $600-700 million. As I mentioned at our investor meeting in February there is a chance that CapEx could be $300 million higher. I had mentioned what we are already doing for Gorilla capacity. In Display we have also restarted expansion at our Taichung facility that had been halted in late 2008 as a result of the supply chain contraction. As a result of these actions, we now expect our 2010 CapEx to be closer to $1 billion. Now, I would like to turn to our outlook and I will start with Display. We expect glass volume at our wholly owned business to be up in the mid single digits sequentially in the second quarter. This is on top of the 12% sequential increase we had in Q1. We also expect SCPs volume to be up in mid single digits sequentially also. We anticipate glass pricing at our wholly owned business and SCP to be down slightly sequentially. We expect equity earnings at SCP to be about 5% lower sequentially. The higher volumes will be more than offset by the expected impact of changes in exchange rates as well as the fixed costs of some new capacity that will be coming online. I will comment more on the exchange rates in a moment. Gross margin in our Display business is expected to expand slightly in the second quarter primarily due to higher volumes. In general, we expect second quarter volumes in the glass industry to be fairly consistent to up slightly compared to the first quarter. This forecast for the Q2 glass market is based upon the lower end of our range. We also have a forecast for Q2 showing the glass market growing more. If this optimistic case occurs we have the capacity to do greater than a mid single digit forecast in both our wholly owned business and at SCP. We expect to regain some share in Q2 at both the base forecast or in the optimist case. Panel makers are expected to continue to run at fairly high utilization rates. In total we expect inventories in the supply chain to expand in Q2 as it prepares for the seasonally stronger second half. As a reminder, the second quarter is typically the seasonal low point for retail sales of televisions. Longer term, some investors have asked about the likelihood that panel makers will add too much capacity in 2011. Investors should note the panel industry has historically built more capacity than required to meet the true retail end-market demand. For example, last year end market demand was 2.32 billion square feet but panel makers had capacity to ship 3.3 billion. In 2008 equivalent panel demand was 1.95 billion square feet and panel makers had 2.6 billion square feet in capacity. The same was true with 2007 when panel capacity was 2 billion but the retail demand was only 1.6 billion. So in summary, we believe panel makers may build more panel capacity in 2011 than needed to meet the end market demand. The important question is whether the glass industry will follow. We can speak for ourselves. Our strategy will be the same as it always has been; we are going to add capacity to meet our view of end market demand. As I mentioned earlier we will be adding some additional capacity at our Taichung facility to meet what is expected to be another year of glass volume growth in 2011. In addition, we are likely to have a decision on the timing, location and cost of adding melting capacity on mainland China soon. However, the China capacity will be to address our 2012 glass volume needs. Capital spending for that project will not be significant until 2011. In our Telecom segment we expect second quarter sales to be up between 10-15% driven primarily by the higher seasonal fiber and cable demand in both North America and Europe. We also anticipate sales of private networks, fiber to the home and hardware and equipment products to trend slightly higher in Q2. In China we expect Q2 fiber demand to remain consistent with the first quarter. In our Environmental segment we expect Q2 sales to be consistent with Q1. In Life Sciences we anticipate Q2 sales to be up 5% sequentially. In Specialty Materials we expect Q2 sales to be up between 15-25% sequentially driven by growing Gorilla glass sales. At Dow Corning we expect Q2 equity earnings excluding special items to be consistent with Q1. Silicone sales are expected to be consistent sequentially while sales in Hemlock are expected to increase 25%. These sales gains will be offset by the impact of start up costs of the significant expansion in China. We are very excited about the start up of the China facility. This is a $1 billion CapEx project which has been under construction for four years. As in many of Corning’s businesses, the silicone market in China will shortly be one of the world’s largest and we continue to have strong growth. This expansion positions us well to succeed in China. I would like to take a minute to say how delighted we are with Dow Corning. The economic recovery is showing strongly in the silicone business. Their new product portfolio is paying off. Hemlock’s new capacity is on track and the solar market is improving both in volume and the stabilization of spot price. All of Hemlock’s customers are current with their pre-phase. Turning back to the full income statement we expect our corporate gross margin percentage in Q2 will be consistent with Q1 while. We expect gross margin expansion in Display and Telecom it will likely be offset by the one-time costs of preparing Shizuoka for Gorilla glass. SG&A and R&D as a percentage of sales will be consistent quarter-over-quarter. Other income will be about $7 million lower due to non-repeated Q1 balance sheet hedge gains. We are expecting equity earnings to be 3-5% lower sequentially excluding the quarter one tax gain at Dow Corning. We are basing our Q2 guidance on a Yen to Dollar exchange rate of about $0.94 which is roughly where it is trading today. In Q1 the Yen averaged $0.91. For every one point move in the Yen our sales and net income moves by about $9 million. So if the Yen averages $0.94 in Q2 our sales will be impacted by $27 million and so would our net income. The net income impact includes SCP where a weaker Yen also lowers their results. In total, the impact of the weaker Yen and the non-repeated balance sheet hedge gain would be about $34 million in Q2 or roughly $0.02. Regarding our Q2 tax rate we expect it to be consistent with Q1. In 2011 we are still forecasting our tax rate to be about 20% excluding the benefit of the Tax Extender Bill passing in Congress. If the Extender Bill passes our 2011 effective tax rate would be reduced by about 2 percentage points. As we outlined in February we expect to grow earnings in higher tax jurisdictions such as the United States and Japan which is pushing our effective tax rate higher. Ken? 
Ken Sofio : Thank you Jim. Operator, we are ready to take some questions. 
Operator: (Operator Instructions) The first question comes from the line of CJ Muse – Barclays Capital. 
CJ Muse – Barclays Capital : In your prepared remarks you discuss the base case in a more optimistic case for Q2 glass volumes and I guess considering how tight glass still is and your visibility today plus some of the public comments we have heard from [LTL] and AUO and your competitor NEG, I am curious why you are guiding to the less optimistic case. Is this just a level of conservatism on your part or is there something else there? 
James Flaws : Well as you know we tend to be a little more conservative on our guidance. We also are paying attention to the inventory in the supply chain. I would also caution you sometimes people focus only on AUO or LG and you really have to add up all the panel makers to get a forecast of the market. Clearly we could meet the optimistic case. If that is true and the market needs that much we will ship more. 
CJ Muse – Barclays Capital : Can you talk a little bit about your gross margin outlook overall for the company heading into Q2 and the second half of 2010? I know you don’t like to guide forward but is there any reason in terms of Q2 why the corporate gross margin shouldn’t increase given your guide for display gross margins to tick higher? Any other moving parts we should be thinking about? 
James Flaws : Yes, as I just mentioned we will have some costs at Shizuoka to get ready for Gorilla. So that will probably hold our corporate gross margin to be roughly similar to Q1 in Q2. Without that it would have gone up. We expect display margins assuming we are right on volume and pricing to get better. We expect Telecom to improve as we get more volume. We are quite hopeful that environmental will improve as the year progresses particularly as we stop air freighting and we run manufacturing better. So in general our gross margin outlook is optimistic for the company. Of course at any given time we can have events like the Shizuoka costs but we feel quite good about our gross margin and our manufacturing performance. 
Operator: The next question comes from the line of Nikos Theodosopoulos – UBS. 
Nikos Theodosopoulos - UBS: On Gorilla can you clarify what you said about the run rate exiting March? Just trying to understand that better. The second question is given this analysis you showed in terms of the inventory in the channel and 15-20 weeks, what do you do if anything if you see it exceeding the 20 week level some time before the second half begins? Do you do anything or do you watch it? What would be your course of action in that kind of situation? 
James Flaws : Your first question on Gorilla in March we see strong demand. We are expecting in Q2 Gorilla on an annualized rate could exceed $200 million. So we are feeling quite good about that. On inventory, there is not too much we can do. If our customers keep buying we are going to keep shipping. We will clearly alert you guys if we think inventory has gotten too high as it did in 2008 but we can’t stop our customers from running. We are obviously at very modular capacity and would be prepared to correct if we had to. Frankly if it dipped a little we just put something in inventory because we have almost no inventory right now. Right now, inventory is at 17 weeks. If you take the more optimistic case in our forecast it doesn’t get to 20. 
Wendell Weeks : It also informs us, one of the reasons we look at it is it informs us in how we play out our particular customer strategies around how do we want to handle our share and when do we want to make what moves when. It is very helpful information both I think for you and it also helps inform us as far as when we want to make what type of moves. 
Operator: The next question comes from the line of Simona Jankowski - Goldman Sachs. 
Simona Jankowski - Goldman Sachs: First I was hoping you could clarify your expectation of gaining share in the second quarter. I think NEG guided up 10% for their own shipments in the second quarter. Are you just assuming in the best case scenario you can do better than that? If you can just give us an update on the Sharp Gen 10 facility. There has been some press reports of that accelerating production as well. If you can give us some sense of the gross margin impact there both in the second quarter and potentially for the back half of the year. 
James Flaws : I will take the latter question first. Gen 10 is a slight drag on our gross margin in the display business. We expect if Sharp ramps as they are telling us they are going to that goes away over the back half of the year. Relative to gaining share I would remind you that we talk about share for the total market and when you compare to NEG they are primarily focused on a couple of customers. We do expect to gain a little share back in Q2 compared to where we were in Q1 and Q4 in both the base and optimistic case. 
Operator: The next question comes from the line of George Notter – Jefferies & Company. 
George Notter – Jefferies & Company : I was trying to understand how you might address the Chinese opportunity with the government there helping to facilitate the development of new panel facilities in China. Would you address that business then through the wholly owned business or would you address that business through SCP? I am thinking about the case where the Korean panel makers get into the Chinese market. How would you address them? 
Wendell Weeks : We are very closely engaged with the appropriate folks in China. We already have finishing operations in China. We have said we will be melting in China as well. Now it is just simply a question of where and when. We would expect to make that decision this year. As pertains to how we would address that market, we would primarily address that through our base operations [we are open to] depending on what happens with Samsung’s particular play in China. Considering a potential role for SCP. Any such consideration would look primarily to our interests first and at the same time some consideration for what it is best serves our customer base. 
Operator: The next question comes from the line of Analyst for Jim Suva – Citigroup. 
Analyst for Jim Suva - Citigroup: Could you just recap what you said about the tax rate for 2011? 
James Flaws : We said we haven’t changed our forecast but the tax rate could move up to 20% if we make the money we expect to make in Japan which has a much higher overall tax rate. Then I also said that if Congress should move to pass the Tax Extender Bill that could fall by a couple of percent. So that is the outlook right now. 
Analyst for Jim Suva - Citigroup: On the $1 billion you are repatriating can you talk about any plans on what you will do with that cash? I am assuming some of the increased CapEx can be funded with probably balances that are domiciled overseas given the display operations are overseas? 
James Flaws : We have no immediate plans for the cash. We have talked about this year the company would think about our growing cash balance and whether we should be doing something more than just keeping it. When the board makes that decision we will update you. You shouldn’t take this move, the plan to move back by the way occurs in the later part of the year, as a signal we are about to do anything. We thought this was a very prudent move from a tax point of view and that is why we made the decision in Q1 to adopt the decision and it affects our tax rate on a book basis for the full-year. 
Operator: The next question comes from the line of Steven Fox – CLSA. 
Steven Fox - CLSA: A couple of questions on Gorilla glass. First of all, excluding the start up costs in Japan for Gorilla. Can you give us an update on how the manufacturing efficiencies are moving and how you see the margin profile going forward? Then secondly if you could talk a little bit more about what a large TV customer could mean for your growth expectations as you get out over the next few quarters? 
James Flaws : I will handle the latter one and I will let Wendell talk about the manufacturing of Gorilla. Our expectation is that we will have a large customer who will be committing to take cover glass. Manufacturing could start in Q3. We could have a minor amount of shipments in Q4. It will probably be a significant volume next year obviously if consumers buy these televisions. Relative to Gorilla manufacturing from my own perspective we are improving as we go along. We clearly are growing so rapidly we have some start up expenses as we try to keep expanding capacity to keep up with the growing demand. Maybe Wendell, do you have any comments about manufacturing in Gorilla? 
Wendell Weeks : We are happy with the progress. I think as this business grows in importance to us what Jim and Ken will do is give some thought as to the best way to help you all think about the profitability on Gorilla. At the glass level its profitability is quite enjoyable but we add a lot of value to it with things like coatings, finishing’s, special surface morphologies and all of that added value is great from a revenue perspective and also very good for making more money at the bottom line. However, in terms of margin percent richness it is going to be significantly less than that of the glass. As we work our way through that we will think about the best way to help you to be able to build that into your models in the appropriate way. 
James Flaws : On the margins of the finishing it is not as [acid] intensive as glass. So we don’t need to have the very high margins we have the very high margins we have on the glass portion. Lastly, some of the added value we are putting on the glass is very important to our customers as they take this glass and do various things with it. It helps us to retain customers by some of the stuff we do with it. 
Operator: The next question comes from the line of Mark Sue - RBC Capital Markets. 
Mark Sue - RBC Capital Markets: Does it feel like the early stages of an upgrade cycle? Should we extrapolate the trends in Japan to other developed markets such as the U.S. and Europe? How should we think about replacement cycles overall? 
James Flaws : I would say we are hopeful that Japan will be a predictor of other developed economies but until we get complete results back from our consumer study I can’t declare that definitively. It is very clear from some data we have the various things that are happening in televisions; I will stress in particular right now the impact of LED with the thinness of the product appears to be driving the cycle. We have noticed in Japan the mix has shot up on LEDs. Remember they were introduced later there than they were introduced in this country. Of course we are interested to see how 3-D plays out particularly as more content becomes available. So we are hopeful. I just can’t prove it statistically yet. Clearly I think there is some good news in Japan. The question is how much. 
Mark Sue - RBC Capital Markets: With a lot of the new things and form factor in LEDs directionally should we plan for sequential volumes to increase in September and December or should we think about seasonality increasing? 
James Flaws : Are you talking about the overall glass market or are you talking about at retail? 
Mark Sue - RBC Capital Markets: Overall glass. 
James Flaws : For glass in our base case or lower case, Q3 is higher than Q2. In our optimistic case both Q3 and Q4 are higher than Q2. As always we have to have a range because we don’t know exactly what the supply chain will do so when you pull it back from retail there is always some variability in inventory. For those who are worrying about Q2 being the peak quarter for us this year we don’t have that in any of our forecasts. 
Wendell Weeks : I just want to cycle back to the first part of the question because I do think it is worth really giving some thought to what is going on in Japan. We are doing that but I also think it is worthy for those on the call to engage with our customer base to actually engage in some of those conversations with them. Some of our customers have in terms of long term outlook, leave this year…this is very long-term outlook, the extremely robust view of what they think is going to happen in terms of replacement cycle and in terms of television demand. We don’t share those views yet but it is very interesting to know just sort of the tone of the dialogue around these factors and how actually the whole energy level around what is the right replacement cycle and what is going to happen on this new product cycle is going to play out. So it is quite intriguing and it is dominating a lot of conversation in the industry right now. 
Operator: The next question comes from the line of John Roberts - Buckingham Research. 
John Roberts - Buckingham Research: A housekeeping question and if you could give us an update on solar. The housekeeping question you had a $0.04 tax benefit in the quarter which it looks like First Call is going to include that in its $0.52. Would it be about $0.04 in each of the next three quarters assuming that underlying earnings remain roughly in this range? 
James Flaws : Obviously I am not going to give you guidance for the remaining quarters but I will tell you the way the accounting works for tax rate particularly the total year rates obviously we would have had 10 throughout each quarter of the year. We are now thinking 2 every quarter and you can apply it to your forecast for the quarters. 
John Roberts - Buckingham Research: Could you give us an update on the solar development activity? Really I think you are a little bit behind where you thought you originally would be with that. 
Wendell Weeks : I would say that solar when we were all together in February what our comments were was that we weren’t moving forward as quite as aggressively as we would have liked. I would say that over the last few months we are feeling much better again. A lot of where we felt progress was slowing some had more to do with our own sort of internal set of priorities and how much work we were having to put in getting touch technology right, among a lot of other things. I feel really good right now we are back on track and making nice progress and we are continuing to see nice experimental data. We still have a lot of work ahead of us to finalize our product, the manufacturing process and to close on a major customer but I do feel like we are on the right track. 
Operator: The next question comes from the line of Yair Reiner – Oppenheimer. 
Yair Reiner - Oppenheimer : In terms of seasonality it looks like your base case for the market you are looking at first half seasonality of about 48%. Is that roughly the math you are using? 
James Flaws : I don’t think about it that way. I will actually have to look and calculate it but keep going on your questions and I will get the math out. 
Yair Reiner - Oppenheimer : The raised guidance for LCD TV sell through, where are the incremental units coming from? Is it Japan and China or is it more widespread than that? 
James Flaws : It is across the board but obviously we are thinking Asia is running well ahead but we actually raised our numbers for the United States and Europe also slightly. 
Yair Reiner - Oppenheimer : On inventory, it looks like most of the upside in the first quarter in terms of panel shipments came from monitors. If you annualize the rate of the first quarter you would have year-over-year growth in monitors of well over 20%. Does that really reflect, is there demand coming from the refresh cycle in enterprises or is that really where the inventory is starting to kind of get sized up? 
James Flaws : It is hard for us to determine exactly what drives the demand. Obviously when you look at the year-ago overall demand was very weak. We can’t know for sure what is refresh cycle. It is difficult for us to tell. 
Wendell Weeks : I would say in our conversations with the major computer makers, and I am sure you are hearing it as well from them, they seem to be feeling very strongly about the refresh cycle and demand in enterprise as well as consumer. Most of the conversations I am participating in sound very bullish on their side. I am sure that is what you are hearing too. 
Yair Reiner - Oppenheimer : Based on your studies what has historically been the replacement rate for TVs? 
James Flaws : The only studies we have are the CRT market which were 8-10 years. LCDs haven’t been around long enough for us really to have any of that kind of [actives]. That is what we are striving to get because that is where they have been around the longest. 
Wendell Weeks : Actually I think two investor conferences ago Peter Volanakis presented sort of a bunch of our different data on some of the main factors that helped drive overall television growth. Included in that presentation sort of the historical ranges on replacement cycles and then what different replacement cycles would mean for overall demand in terms of glass. I am sure Ken would be willing to make that available to you. It is very helpful to think about what range you really believe and what the impact would be on glass demand if you are interested. 
Ken Sofio : I would be more than happy to. 
Operator: The next question comes from the line of Carter Shoop - Deutsche Bank. 
Carter Shoop - Deutsche Bank: I wanted to touch base on cover glass again. Based on your preliminary discussions with this one OEM, could we see adoption rates in 2011 be as high as 30% if the market is receptive to these types of products? I know it is very early on but based on your conversations with the OEM is this something that could flip very quickly like we are seeing in LED? 
Wendell Weeks : I am not sure I understand the question. 
James Flaws : The answer is no. We are not expecting a 30% adoption rate in the total television market as early as 2011 on covered. 
Carter Shoop - Deutsche Bank: I am sorry. I guess I was thinking of the one OEM that you are in discussions with. 
Wendell Weeks : We are in discussion with a number of the OEMs. It is not one OEM. It is a number of the OEMs. 
James Flaws : I still think that would be a high number though. 
Carter Shoop - Deutsche Bank: In regards to Dow Corning can you talk about the outlook for the second half of the year in regards to the drag from the expansion in China? Is that something that is going to continue for the second half of the year or is that going to be largely behind us after 2Q?
James Flaws : It will still be a little bit of a drag in Q3 on the silicone business but Hemlock should have a very strong Q3. I don’t think it is going to be a large number but we will update you when we get later on in the quarter. 
Carter Shoop - Deutsche Bank: Can you elaborate a little bit on the progress you have made over the past couple of months on the solar side? 
Wendell Weeks : Sure. I think as you may recall there are three different major film types; [Cadtel, Sigs] and then micro morph tandem structures on silicone. I would say that we are very pleased with our progress in [Cadtel] and the continued positive lab level results we are getting. We are getting closer and closer to nailing down exactly what type of product would best serve that market. Similarly in [Sigs] we are getting closer and closer at nailing down what the product requirements would be and seeing some nice uptick in terms of conversion efficiency as we are doing these relatively massive BOEs to actually nail down can we improve conversion efficiency. Finally on the tandem structures I think we are about half way there in terms of being able to show a conversion efficiency gain that we would need to be able to justify specialty glass. I think overall the good news is we continue to believe that we can generate significant increases in conversion efficiency using a specialty glass. There was widespread disbelief in the industry. Now I would say there is widespread belief of that in the industry. Now we have to turn to the next challenge to actually turn this idea into revenue. We need to have exactly the right product for each of these areas, exactly the right manufacturing process to deliver on the appropriate economics and then we need to catch the customer build cycle exactly right. All of that is ahead of us but I think the good news is there is nothing about our original product content, the thin specialty glass that is proving to be not a good idea. 
Operator: The next question comes from the line of Ajit Pai - Thomas Weisel Partners. 
Ajit Pai - Thomas Weisel Partners: Looking at Corsam, can you give us some color as to what the agenda for Corsam would be? Also whether the market it would be addressing. Is it related to some of the China opportunities for Samsung products [inaudible] they can operate with you? Is it all in the LCD area or outside of the LCD area as well? The second question would be on your equity earnings I am just running through the numbers and it is far more than being impacted by just Dow Corning and Samsung [Corning] positioned glass. Could you give us some color as to are there any other ventures that are becoming material as a percentage of that which we should start thinking about at this stage? 
James Flaws : On equity earnings I don’t think there is anything else that is really material. When you look at equity earnings you have the impact of the other part of SCP. We do have [uracara] in there but I am not aware of anything material happening. On Corsam the focus is beyond LCD. That is what we put into place for. It is focused on use of flat glass. Beyond that we are not disclosing where it is going. 
Ajit Pai - Thomas Weisel Partners: What about the financial? It is quite a significant amount of investment from both companies right now. Running the numbers it is almost $50 million in a quarter I think last quarter. In terms of overall investment over the next year or two is there some sort of broad number you can share with us? 
James Flaws : Directionally you ought to think about it as around $40 million a year. I am not quite sure how you got to the 50 but I am happy to deal with it offline. 
Operator: The next question comes from the line of Jeff Evanson - Sanford Bernstein. 
Jeff Evanson - Sanford Bernstein: As you look at the Shizuoka capacity you are moving over to cover slip production what is that being used for now? 
James Flaws : Shizuoka capacity is the older capacity that has actually been shut down since 2008. 
Jeff Evanson - Sanford Bernstein: Are you carrying depreciation for that on your books? 
James Flaws : Yes we are. 
Jeff Evanson - Sanford Bernstein: As you move it to cover slip is that depreciation going to move over to the specialty glass business? 
James Flaws : Yes it will. 
Jeff Evanson - Sanford Bernstein: In the cover slip business you mentioned currently with Gorilla glass you are putting on coatings and adding value in other ways. As you think about the TV opportunity there are a lot of films and coatings going into making a high quality television panel. To what extent is capturing that revenue an opportunity for you guys? 
Wendell Weeks : Similar to when we do highly finished IT parts in Gorilla we will see that same type of investment and that same type of product attribute for cover TV should we be able to actually close that business. All sorts of different ways to deal with light and I think the main difference between that and what we do for IT would be we probably wouldn’t have to put on our anti-smudge type material. It does add a lot of revenue, all of these various steps. That is quite true. 
Jeff Evanson - Sanford Bernstein: Given you are actually reducing some costs the panel manufacturer would have in other areas, how would their build of material change by adopting your TV cover slip technology? 
Wendell Weeks : This is actually the same question our Vice Chairman, Mr. Flaws, has for us. I would say the level of our understanding is not yet deep enough to actually understand to give you an accurate answer to that question. In many ways it looks to us like it adds costs. I think clearly it is a cost add overall. How much they reduce their costs in other space we just aren’t expert enough yet on the overall manufacture of a television set to be able to answer that question accurately. 
Jeff Evanson - Sanford Bernstein: If we look at Japan rates year-over-year what is the implied replacement rate you think exists in those high growth you have seen in the first part of the year? 
James Flaws : We don’t have a calculation yet. 
Operator: The next question comes from the line of Paul Bonenfant – Morgan Keegan. 
Paul Bonenfant – Morgan Keegan : Regarding the expansion in Taichung and the retrofit in Shizuoka, when is that capacity coming on line and what impact, if any, does it have on your expectations? I think in the past you have talked about LCD glass industry capacity maximum utilization being around 3.2 billion square feet? 
James Flaws : I am not sure I got your question totally but Shizuoka coming is not going to be in the display business. It will be for Gorilla. So we are not going to count it on that. Taichung the additional capacity we are bringing on would be at the very end of the year. On a theoretical basis if everybody was running everything perfectly if you annualize all tanks it would be between…it could get up to 3.4 for the industry. 
Paul Bonenfant – Morgan Keegan : I am wondering if you could give us the dollar amount of [FTTP] sales and hardware and equipment? I think you talked about how that moved directionally on a percentage basis but I don’t recall seeing the dollar amount for a few quarters. 
James Flaws : I didn’t understand your question. 
Ken Sofio : I can get you that offline. 
Operator: The next question comes from the line of Andrew Abrams – Avian Research. 
Andrew Abrams – Avian Research: Two China questions. I know these are still kind of on the speculative side. Can you talk about the Chinese supply chain, where you are feeding into the supply chain right now and how that has expanded over the last 6-12 months? Meaning what is going into the supply chain glass wise relative to where it was a year ago? Also, if we are talking about that can you also talk about how you are going to approach the fact there could be a number of LCD fabs in different locations in China kind of spread out as opposed to maybe in the science parks in Taiwan where it is a little easier? How do you deal with that? Are they duplicate construction sites for you? What is the concept there? 
James Flaws : On the first one there really hasn’t been much change on the China display right now because there really hasn’t been a change in the people running the panel fabs. The next new fab I don’t think really has cranked up very much. So there really hasn’t been a change to date. What we are evaluating is the fact that when the Chinese government gets the final agreements to panel fabs they may be in multiple locations and as we said in February we are considering whether we end up having two factories and what the best place to put them is but that obviously will be dependent on where the fabs get finally approved. 
Andrew Abrams – Avian Research: Do you have a thought process on the number of final licenses that are going to wind up being issued or is this just kind of guess work on everybody’s part? 
Wendell Weeks : I think it is guess work on everybody’s part, guessing how China will actually choose to behave and what they will approve in any industry is quite challenging. The good news is we can actually wait until that process is done and then make our decisions and we will work with all of the right folks to be able to make the right decision. 
Andrew Abrams – Avian Research: Do you supply a substantial amount to BOE in China now or is it done a different way outside of China? 
Wendell Weeks : BOE is one of our most valued customers. It has been one of our most early customers in China and so we think very highly of them. 
James Flaws : A reminder, we already have a glass finishing operation in Beijing. 
Operator: The next question comes from the line of Wamsi Mohan – B of A Merrill Lynch.
Wamsi Mohan – B of A Merrill Lynch : In your exploratory talks with TV vendors and Gorilla glass what sort of models from a screen size and thickness are the ones that are driving adoption of cover glass in your opinion? 
Wendell Weeks : Different OEMs have very different ideas. Some don’t think the borderless design is a good idea. Some think that the borderless design is the best idea since sliced bread. Depending on where you stand as an OEM on that continuum depends on how far across your product line you want to take it. I think if you do like borderless there is relatively widespread agreement in the camp of people who like borderless it is best on the highest end models, the largest pieces, because those tend to be the customers that will highly value design. As far as footprint and thickness, the short answer is thinner is always better than thicker. One of the keys for our ideas is that you could potentially go thinner with our product than you can with competitive products. 
Wamsi Mohan – B of A Merrill Lynch : On gross margins, off the 470 basis points of sequential improvement in gross margins how much of that improvement would you attribute to expansion of gross margins in the display segment? Would you attribute greater than 100% to display? 
James Flaws : I won’t do that for you because we are not giving out specifics on display margins. But Display had a big role in it. 
Wamsi Mohan – B of A Merrill Lynch : Can you update us on any potential progress on discussions with SCP for a one-time cash dividend? 
James Flaws : Yes. We are having very favorable discussions with them. As I indicated in February we have high expectations that by the end of the year we will get increased dividends. 
Wamsi Mohan – B of A Merrill Lynch : Can you talk about the magnitude of that? 
James Flaws : No. Just a couple of quick closing comments to leave you with. Regarding the first quarter we could not be more pleased with our results and hope you are also. This was an excellent start for 2010 and we hope to build upon the performance. We believe there is the potential for further sales growth and gross margin expansion this year. In Telecom we expect to continue to benefit from the cost reduction actions we took last year. In Environmental there is a significant opportunity to bring gross margin up to its historical levels. In specialty materials Gorilla glass continues to find its way into more products and hopefully a few more soon with much larger screen sizes. Investors often ask us what the most significant next business opportunity is for Corning and we think it is Gorilla. So we remain very optimistic about our potential to further grow sales longer term as well as the potential to further expand gross margin and our bottom line. Lastly, a couple of investor related announcements. Our annual shareholder meeting is tomorrow at 11 a.m. right here in Corning, New York. If you are unable to attend in person the meeting will be webcast. We will also be speaking at the JP Morgan Technology Conference in Boston on May 17th. We will be on the road meeting investors in London early in the week of May 24th. If you would like to attend an investor luncheon there please call Ken. In June we will be attending the B of A large cap conference on June 3rd and the UBS Technology Conference on June 8th. Both of those conferences are in New York City. Finally on June 15th we will be in Minneapolis meeting investors and will likely have an open luncheon. Again, if you are interested in attending that lunch please call Ken. 
Ken Sofio : Thank you Jim. Thank you Wendell. Thank you all for joining us today. A play back of the call will be available beginning at 10:30 a.m. ET today and will run until about 5 p.m. ET Monday, May 12th. To listen dial 800-475-6701. The access code is 152579. Audio cast will also be available on our website during that time. Operator that concludes our call. Please disconnect all lines. 